Operator: Good day, and welcome to the Symantec's Fourth Quarter 2014 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss fourth quarter and year-end earnings results. By now, you should have had the opportunity to review a copy of our earnings release and supplemental information. If you have not reviewed these documents, they can be found on the Investor Relations homepage. A copy of today's prepared remarks will be available on the website after our call is completed. Participants on today's call are Mike Brown, Symantec's interim President and CEO; and Thomas Seifert, Executive Vice President and CFO. This is a live call and will be available for replay via webcast on our website. I'd like to remind everyone that we provide year-over-year constant currency growth rates in our prepared remarks, except for statements about net income and EPS. All references to financial metrics are non-GAAP unless otherwise stated. Also, billings refer to revenue plus the change in sequential deferred revenue. I would also like to take this opportunity to highlight a few dates for you. Thomas will be presenting at the JPMorgan Technology Conference on May 19 in Boston. We decided to push out our Financial Analyst Day to a later date, most likely after our permanent CEO is onboard. And we intend to announce our first quarter earnings on July 30. Please note, non-GAAP financial measures referenced during this call are reconciled to their most directly comparable GAAP financial measure in the press release and supplemental material posted on our website. Today's call contains forward-looking statements based on the environment as we currently see it. Those statements are based on current beliefs, assumptions and expectations, speak only as of the current date and as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to the cautionary statement in our press release for more information. You will also find detailed discussions about our risk factors in our filings in the SEC and, in particular, in our annual report on Form 10-K for the year ended March 29, 2013. And now, I'd like to introduce our interim CEO, Mr. Mike Brown. Go ahead, Mike.
Michael A. Brown: Thank you, Helyn, and good afternoon, everyone. I'm pleased to report that we delivered revenue at the high end of guidance for the fourth quarter and exceeded guidance on operating margin and EPS. Two primary factors drove those results. First, we implemented the right changes to our go-to-market capabilities in fiscal '14, and we've seen improvement in year-over-year billings trends in each of the past 2 quarters, as expected. Second, we made progress reducing costs and, as a result, improved operating margin by 160 basis points, with a path of further expansion ahead. Building on the momentum achieved in the fourth quarter, we expect to make further progress in fiscal '15. We plan to deliver revenue growth during the second half of our fiscal year and achieve operating margin of 30% by the fourth quarter. I couldn't be more excited about our growing markets, our industry-leading products and our world-class talent. We operate the largest civilian threat intelligence network; track a vast number of threats across the Internet; and continuously collect new telemetry from hundreds of millions of mobile devices, endpoints and servers across the globe. We leverage this telemetry to provide advanced intelligence and protection for customers, and we also help customers manage more technologies with greater efficiency in any computing environment. However, as we look at our businesses, we see several areas where we believe Symantec can do better. We can better leverage our substantial assets in security and information management. We can exercise more discipline in how we prioritize where we invest, and we can go much further with expense management. In the new leadership team's first 40 days, we've taken important steps to strengthen our organization and accelerate the pace of our transformation. The increased rigor and focus we're applying to the business sets the right course for maximizing the value of our unique assets. We are focused on 5 priorities as we start fiscal '15. These include: number one, optimizing our businesses based on life cycle and growth potential; number two, prioritizing investments for growth in our enterprise businesses; number three, further reducing costs and improving efficiencies across the company; number four, rounding out our talented executive team; and number 5, continuing to return significant cash to shareholders. We are moving forward with these plans concurrent with our CEO search and the board and the management team are completely aligned with these priorities. There is substantial opportunities for us to improve our growth profile, maximize profitability, and enhance our market positioning, and I'm confident we have the right team and plans in place to achieve our objectives. Now, I'll spend a few minutes outlining our 5 priorities in more detail. Priority 1, optimizing our businesses based on life cycle and growth potential. We are methodically evaluating every product line to balance our profitability targets against our growth objectives. Some of our businesses are ideal for improving operating margin, while others are best positioned for growth. The businesses we plan to optimize for margin tend to be more mature with lower growth potential. We plan to deploy these savings and prioritize our investments against our growth objectives in Symantec's most promising areas. We believe this approach will generate better returns and improve the long-term growth profile of the company. We are applying this approach to our $650 million information availability business, which includes Storage Foundation and Cluster Server, and our $2-billion Norton business, given where these businesses are in their life cycles. These mature world-class brands have tremendous assets that we can prudently manage for the significant recurring cash streams they generate. We can also optimize them for margin expansion while we build on their market-leading positions through continuous innovation. We're forming a business unit for the Norton-branded products under Fran Rosch's leadership so that we can execute more efficiently on the unique characteristics of this business. We believe we can enhance the franchise value while also improving the margin and cash generation of the business through more focused leadership. For example, we're optimizing the e-commerce direct-to-consumer channel in order to expand operating margins in this highly profitable business. Additionally, our optimization initiative will also identify selected product lines to prune that don't fit either our margin or growth objectives. Priority #2, prioritizing investments for growth. We are prioritizing investments for growth in our Enterprise backup, Storage Management and Security businesses. With our global scale and broad set of technologies, we are uniquely positioned to address complex and rapidly evolving enterprise needs across Security and Information Management, irrespective of device or platform. We are leveraging these advantages to accelerate growth in our Enterprise businesses. Our fast-growing Enterprise businesses today include mobile, which grew 76% year-over-year, and NetBackup Appliance, where revenue grew 27% year-over-year. We are also seeing growth in Trust Services, data loss protection, Managed Security Services and in Business Critical Services. In backup, where we are the market leader with 30% market share and growing at a rate that has outpaced the market for the past few years, we will continue to drive innovation in NetBackup and bring to market differentiated appliances where we've got the fastest-growing backup appliance in the industry. In Storage Management, we're investing in promising technologies such as software-defined storage, object storage and disaster recovery as a service, all of which we believe will be multibillion dollar markets. In Security, we're expanding our focus from prevention to detection and response to solve the advanced threat detection problem in a differentiated way. This week at our users' conference, we launched a new advanced threat protection service, Symantec Managed Security Services Advanced Threat Protection, to connect Endpoint Security to third-party gateways, significantly reducing the time and cost of detecting, prioritizing and responding to security incidents. This is part of our commitment to building an effective security ecosystem for customers. In addition, we'll be offering an industry-leading advanced threat protection solution, which integrates protection across the gateway, email and endpoint to deliver better multitiered security. This offering includes Synapse, a new capability that integrates telemetry data across endpoints, gateways and email to reduce false positives and operating cost for customers. Since we see opportunity to invest within target areas of our Enterprise business, we shifted resource funding within our R&D budget to put more dollars behind the most promising market opportunities. As part of this, we've also canceled a few future programs on our product roadmap to focus and invest more in areas we've just identified. We will continue to invest in our industry-leading point products while delivering new, innovative and integrated solutions. In addition to organic investment, we will opportunistically evaluate acquisitions that strengthen our capabilities or add new capabilities that fit our strategy and growth objectives. Priority #3, further reducing cost and improving efficiencies. We will continue to drive operational efficiencies and reduce costs. Last year, we reduced our sales and marketing costs by more than $300 million. We've already made significant progress on this front by reorganizing the sales force, changing the roles of our direct sales reps to focus on only new business, with a specialization in selling either Information Management or Security. We've also launched our centrally-managed renewals team, which is focused on adding value by extending the customer relationship and making it easier to renew and do more business with us. Our improving billings trend is a proof point that our sales realignment is yielding results. We've also launched our redesigned partner program, which consolidates multiple programs under one framework and introduces performance-based incentives with more investment and fewer partners. As a testament to our progress, we were named Computer Reseller News' 5-star Partner Program winner. However, there is more opportunity ahead. We have begun several new initiatives to further optimize our cost structure and improve efficiencies. Some of our expense reduction initiatives include consolidation of our global footprint, our data centers and product support. We are also streamlining the way we run our businesses with initiatives to increase R&D efficiencies and sales productivity, as well as optimize the economics of our channel program. We are confident these initiatives will not only drive margin expansion but will also enable our organization to be more efficient and, therefore, support top line improvement. With these initiatives in process, we expect to reach our target operating margin of 30% by the end of this fiscal year. Priority #4, rounding out our executive team. We are now operating with a strong team of talented business and technology leaders, and we will continue to round out our executive team. As part of this effort, we are running an active search for a Chief Products Officer. While I'm serving as interim CEO, the board is leading an active process to find a permanent CEO. We have retained Russell Reynolds as our executive search firm. The board's ideal candidate will have the following attributes: understanding of the technology landscape, expertise growing a multiproduct business at scale and a strong record of collaborative leadership. Priority 5, returning significant cash to shareholders. We will continue to return significant cash to shareholders, as we've done in the past. Over the past 10 years, we've repurchased over $10 billion of our shares. In fiscal '14, we returned 90% of our free cash flow, or $918 million, to shareholders. In fiscal '15, we expect to return significant cash to shareholders in the form of dividends and share buybacks at a similar level to fiscal '14. We're confident that the changes we've made to the business in fiscal '14 and the initiatives currently underway position Symantec to capitalize on market opportunities, drive growth and margin expansion and deliver sustainable shareholder value. Now I would like to briefly address our views on long-term growth. The company had previously guided to greater than 5% revenue growth and better than 30% operating margin by fiscal year '17. As I have just laid out, we have a clear path to achieving 30% margins by the end of fiscal '15. Regarding growth, we are taking actions and prioritizing investments to accelerate growth given the markets we're in and the assets we have. We expect to return to revenue growth during the second half of fiscal '15 and expect to build from there. Greater than 5% revenue growth is firmly on our roadmap, and we will provide updates on our growth trajectory and progress as we implement our initiatives. In conclusion, we believe we're on the right track to accelerate growth and position the company for success. By focusing on our 5 priorities, we will continue to build a stronger, more valuable Symantec in fiscal '15. We operate in growing markets, and we have significant competitive advantages and world-class brands that we can leverage as we move forward. Before I turn the call over to Thomas, I'd like to introduce him. We're so pleased to have Thomas join our executive team. He brings a wealth of operational and finance experience from a number of global technology companies. We're confident he will provide the strong leadership required to drive the successful transformation of the company, and he has already begun doing so. Thomas?
Thomas J. Seifert: Thank you, Mike, and good afternoon. I'm very pleased be speaking with you all today. I joined Symantec with a belief that this was a great opportunity to grow and improve a leading technology company. And now, 40 days into my role, I'm confident that this is the case, and I'm excited about our future prospects. I also look forward to meeting many of you in the coming weeks and establishing an ongoing dialogue. Let's move to our results. We are pleased that both our new business and renewals teams drove significant improvement in fourth quarter results, as reflected in the second consecutive quarter of an improving year-over-year billings trend. We also made progress in expanding operating margin and reducing costs in fiscal '14. And we see further opportunity to streamline our operations in fiscal year '15. In addition, we believe the reorganization of our sales force into new and renewal teams and the redesign of our partner program will drive improved revenue and profits going forward. Let me provide some details on the full year '14 financial results. We delivered revenue of $6.7 billion, in the high end of our guidance; a year-over-year decline of 3% as we completed the implementation of our go-to-market changes. We reduced expenses, which drove operating margin expansion of 160 basis points in fiscal year '14 to 27.5% and exceeding guidance. Sales and marketing expense decreased more than $300 million and, as a percentage of revenue, declined from 39% to 35% in fiscal year '14. Now switching to the business segments. In fiscal '14, our User Productivity & Protection segment declined 3% to $2.87 billion. Strong performance in our Enterprise, Endpoint and Mobile business was offset by continued weakness in Endpoint Management. Enterprise Endpoint Protection grew mid-single digits in the fourth quarter, in line with the market. And GAAP operating margin for this business was 37%, up 3 percentage points year-over-year due to lower sales and marketing spend. The Information Security segment increased 1% to $1.3 billion. Continued growth in our authentication and DLP business were offset by weakness in our mail, web and data center security business. GAAP operating margin for the segment was 14% compared to 3% in the year-ago period, driven primarily by lower sales and marketing expenses. The Information Management segment declined 4% to $2.5 billion. Continued growth in NetBackup was offset by weakness in our Backup Exec and information availability offerings. GAAP operating margin for this segment was down 4 percentage points year-over-year to 23%, partially due to growth in our lower-margin appliance and hosted businesses. As expected, deferred revenue declined 6% year-over-year to $3.9 billion as a result of our September quarter billing shortfall. However, the year-over-year billing trends improved for the second consecutive quarter. Cash flow from operating activities was down year-over-year, driven by severance payments and the impact of lower collections on billings, and totaled $1.28 billion. We returned $918 million to shareholders via share repurchases and dividends, which was about 90% of our free cash flow during fiscal year '14. We returned a total of $480 million in cash dividends to shareholders, and we spent $500 million to repurchase 21 million shares at an average price of $23.87, reducing our common stock outstanding count by 3%. Symantec has $658 million remaining in the current board authorized stock repurchase plan. Let's turn to the fourth quarter results. Our solid fourth quarter performance was led by better results from our sales teams and expense reductions. As expected in the March quarter, revenue declined 6% to $1.65 billion, driven by the billings shortfall in the September 2013 quarter. Both year-over-year billings and license revenue growth trends improved sequentially this quarter. While license revenue declined 12% year-over-year, it improved 15 percentage points sequentially from the December quarter and 19 percentage points from the September quarter. Enterprise subscriptions, which excludes Norton revenue, grew 4% and accounted for 15% of total revenue. Lower customer support expenses primarily drove 40 basis points of gross margin expansion year-over-year to 84.1%. Net income of $329 million resulted in fully diluted earnings per share of $0.47, up 7% year-over-year, driven by benefits from our organization's simplification initiative and reduced spending in sales, marketing and vendor services. Cash flow from operating activities for the March quarter totaled $449 million, down year-over-year, driven by lower billings and severance payments. Now I'd like to review guidance for fiscal year '15. We have identified specific levers that can drive margin expansion and accelerate revenue growth. In fiscal year '15, we will increase investments in our higher-growth areas while optimizing certain businesses for operating margin. We expect operating margin to be 20 to 70 basis points higher in fiscal year '15, and we expect 30% operating margin by the fourth quarter by implementing efficiencies across the company's operations. We've created a project management office with detailed work streams to focus on the opportunities we have identified to reduce costs and improve revenue. Some of these include specific levers that will improve new businesses and new renewal productivity, consolidate our global footprint and data centers, streamline product support and optimize product pricing. Year-over-year billings growth is expected to return in the second quarter as we approach 1 year since reorganizing our sales force. We expect year-over-year billings to grow at a moderate rate during the second half of fiscal year '15. We also expect revenue growth to be flat for the full year compared to fiscal year '14, driven by modest revenue growth returning during the second half of the fiscal year. Revenue growth will be supported by several factors, including improved direct and renewal sales activity and early benefits from our channel programs and new product launches. We've deployed a new planning process that enabled us to align priorities in quotas and other sales resources earlier, which allows our teams to get off to a fast start in fiscal year '15. As a result, revenue is expected to be between $6.63 billion to $6.77 billion. Operating margin is expected to be between 27.7% to 28.2%, resulting in EPS in the range of $1.84 to $1.92. We expect cash flow from operations to grow in fiscal year '15 and CapEx to remain flattish to fiscal year '14 levels. We'll continue to return approximately $900 million of cash to shareholders in the form of both dividends and share repurchases. Turning to the June quarter, it should be noted that our first fiscal quarter has an extra week and ends on July 4, 2014. Both revenue and deferred revenue, excluding the extra week, are expected to be down seasonally in the June quarter. Note that the year-ago June period was very strong since it was a standalone sales incentive quarter, encouraging a high level of sales activity ahead of the sales reorganization in July 2013. As such, for the June 14 quarter, we expect revenue to be between $1.65 billion to $1.69 billion. We expect operating margin to be between 24.1% to 24.5%, resulting in EPS in the range of $0.41 to $0.43. We've increased our marketing spend in the June quarter to launch our exciting new branding campaign, which supports our product and go-to-market initiatives. Based on the initiatives we are pursuing and the opportunity we see in our markets, we are confident we are on the right track to improve the potential for our business and the value for shareholders. And with that, I'll turn it over to Helyn to begin taking your questions.
Helyn Corcos: Thank you, Thomas. Operator, will you please begin polling for questions?
Operator: [Operator Instructions] We'll take our first question from Walter Pritchard with Citigroup.
Walter H. Pritchard - Citigroup Inc, Research Division: Thomas, I'm wondering if you could talk a bit about cash flow expectations for 2015? You did see a pretty significant decline in cash flow in 2014. You're looking for, generally, stabilization, it sounds like, in the business in 2015, and I'm just wondering if that should translate into stabilization in cash flow as well?
Thomas J. Seifert: Yes. Very good question. Cash flow was down year-over-year in '14, primarily driven by the severance payments we had, and by a collection of billings shortfall because of the sales transformation we went through. Those were, we think, 2 onetime hits. And based on that, we would expect cash flow -- free cash flow to go up year-over-year in '15.
Walter H. Pritchard - Citigroup Inc, Research Division: Great. And then just a follow-up, I guess, for both of you. You're new to the call here. Mike, you're on the board, but both of you didn't sort of own what was happening before. And the guidance you're giving here, I guess, is probably better than I was expecting and better than others were expecting for fiscal '15. And I know you -- it's built on detailed plans and so forth, but just wondering, how much room are you leaving yourselves here in the guidance? It seems like you could have guided probably 5% lower than this, and people wouldn't have been that surprised. Trying to get a sense of how you're thinking through that and how conservative or aggressive this guidance may be.
Thomas J. Seifert: Yes. Let me get started and then, Mike, take over. It's a very good question. So I think we planned -- we spent the first 40, 45 days of our time here really methodically looking and going through the company in terms of opportunities, especially deploying a plan for the fiscal year that takes into account the potential that we see in the company from an asset, from a scale, from an employee engagement perspective, but also looking really in an honest and objective way in the improvements that we think we can make. And while the targets are ambitious and they are completely in the realm of the possible -- I mean, we both have significant experience in looking at things from an efficiency perspective. And I think we applied good judgment in setting the right targets, but making sure that they are achievable.
Michael A. Brown: Yes. If I can just add, I think the key for us was making sure that we get the investments targeted to the fastest-growing opportunities. So we took this time to assess not only product line by product line, but also the R&D investments to make sure that the product lines either meet a growth objective or a margin objective. And then for our future investments, those in R&D, we really aggressively shifted within the existing R&D budget to make sure we targeted those at the most promising opportunity. So a lot of opportunities that I talked about got more investment, and a lot that I didn't talk about got less or were eliminated. So I think that the combination of the things that we talked about give us confidence that the plan is very achievable.
Operator: And we'll take our next question from Brent Thill with UBS.
Brent Thill - UBS Investment Bank, Research Division: Michael, one of the biggest questions we all get is on the products. And I'm just curious if you could just give us your perspective on, as you look out this next year, what you see in the pipeline that you're most excited about? And I guess just from new products, we were hoping to see more around our -- say, in your user conference this week, and maybe we didn't hear everything as loud and clear as we should have. So I was wondering if you can just give us a quick update. And then I had just a quick follow-up for Thomas.
Michael A. Brown: Sure. So we're really investing in 3 critical areas, and I'll talk briefly about each one, Backup, Storage Management and Security, probably no surprise that those would be the areas. In Backup, of course we continue to release new appliances. We want to build on that growth. As we said, we're the fastest-growing appliance company in the market, and we want to continue to build that because we've got the best integration between the software and the hardware. We have a new release of Backup Exec coming in July, and we've got a new release of Enterprise Vault coming. Moving to Storage Management, we've got our first offering of disaster recovery to the cloud, and that happens to be an offering for Microsoft. So that's called Disaster Recovery Orchestrator, and that's to the Microsoft Azure cloud. I'm also particularly excited about what we announced in Security. So there's 2 key offerings, one service and one product, and this really is taking advantage of the multiple technologies that we have to go after, signature, behavioral, heuristic technologies, so we have a multitiered protection against threats. With the service in particular, we're integrating with third parties. So third-party gateways. Check Point, Palo Alto Networks and SourceFire, which is now part of Cisco. So we're going to be able to use the information from their gateways and coordinate that with what we would get from the endpoints to provide customers with better protection. And there's 2 key technologies within that, or 2 key offerings. One is incident response. So we're going to help customers be able to respond better, not just protect them but also -- not just detect, but also protect and respond; and then managed adversary information. So one of the things that we've seen is the number of targeted attacks is way up. In fact, it's doubled from last year to this year. So we can actually help our customers understand who is driving the attacks for them, and that's very critical if you're, for example, a financial services company, who's targeting you. And then the solution coming later this year that we announced, our advanced threat protection solution really has the best correlation, we believe, out there between the content -- the telemetry content that is endpoint, mail, web and gateway. So the key to this is that a lot of products that are out there today deliver a lot of false positives, and that really doesn't help customers because you have the tremendous cost and time of responding to all those false positives. So the Synapse technology really is able to deliver a verdict of you really have a security incident you need to respond to or you don't. So we're pretty excited about those offerings.
Brent Thill - UBS Investment Bank, Research Division: Okay. And just a quick follow-up on the 300 basis points of margin improvement in the next fiscal year. I guess, with all the product components on the roadmap, you still feel like you can deliver all these new products while delivering -- improving operating margins. I think there was some concern that perhaps, should you put the margins on hold to really double down in driving innovation to the top line? But I guess the way you're messaging is that you can deliver both at this point.
Thomas J. Seifert: Yes. I think that's a very good question and a very important point to make. Let me try to differentiate where we increase investment to drive growth and where we look at efficiencies in order to get in a better cost position. And most of the efficiencies across topics we drive are outside of our R&D organization. And because of that, we feel confident that we can go after both dimensions pretty much in parallel.
Operator: And we'll go next to Keith Weiss with Morgan Stanley.
Keith Weiss - Morgan Stanley, Research Division: I wanted to keep on a similar theme of the prior 2 questions, and kind of better understand what you guys are seeing in the business that frankly your predecessor, Steve Bennett, didn't. I mean, 2.5 months ago, Steve was at our TMT conference talking about how we need to increase investment for growth and how you needed to sort of get the products in place to get that growth. So what did you guys see in particular that was so different than what Steve Bennett saw? Because frankly, a lot of guys saw him as pretty good at optimizing assets and creating efficiencies within businesses as well.
Michael A. Brown: I'd say, to boil it down, it's probably 2 key things. The first is we need to make more choices. There's a lot of opportunity at Symantec, so we don't see that any differently than Steve did. But we need to be smarter about the choices we make of where to invest, and this process that Thomas and I talked about, in terms of systematically looking at each product family, is telling us not only where to invest but where not to invest. And in fact, we're going to be pruning some of the product lines. I talked about some product families that don't meet our growth or margin objectives, and I also talked about products that we canceled. So we can't detail those for you here, but there's significant change within where we're investing in. And then the second is probably a more macro point, which is really focusing the growth on Enterprise. So as we talked about before, the Norton consumer business is a fantastic business for Symantec. And in fact, it shares a lot of the technology, of course, for endpoints, the same basic technology secures consumer endpoints to the Norton brand as it does the enterprise to the SEP products. And the key realization for us is, it probably doesn't make sense to invest in what we had been doing within Norton. I'll give you an example. We had made a number of investments in what I'll call, "non-core" to the Norton business, extending into services and other what we thought could be brand extensions, where we've not been successful. So it's time to realize that and make sure that the business is focused where it can be successful, which is providing the best premium consumer endpoint security. There's other examples within Norton of what we can do to create more efficiency, which has to do with the channel strategy, really focusing on the e-commerce or direct-to-consumer channel and not going after as heavily retail or OEM. So I guess the key difference is where we choose to invest, and we're clearly saying here, great business in the consumer Norton brand. But the growth for Symantec in the future is going to come from the Enterprise businesses.
Keith Weiss - Morgan Stanley, Research Division: Got it. And if I could sneak in one follow-up. In terms of the areas that you're not investing or you're optimizing, should we be expecting headcount reductions that are going to come along with that optimization? Is there going to be some type of formal restructuring to get those efficiencies?
Michael A. Brown: Well, there's no company-wide reorganization, company-wide employment implications from this. But as you might expect, as you change investments, particularly if you're canceling a product line here and there, that could have some employment implications. But not on the scale of something that would be cross-company.
Operator: We'll go next to Brad Zelnick with Macquarie.
Brad Alan Zelnick - Macquarie Research: My first question is for Mike. Mike, I was hoping maybe you can share a little bit more about your progress in the search for a new CEO. And I think in the past, I heard that public company experience is one of your criteria, but yet I didn't hear you mention that in the list of criteria that you shared with us. And also, in parallel with the CEO search, can you maybe comment on what other options the board might be considering to create value?
Michael A. Brown: Okay, let's start with the CEO search. I think we're making some good progress on that. As we announced, we've hired Russell Reynolds as our search firm on that, and the search committee of the board has been formed and is already meeting to work on the progress there. The qualification of being a public company CEO, clearly we'd like that as part of our ideal list, but we're going to look broader than that to find the best possible candidate. So that's one of the criteria that we will look at. But as you could see, the list is broader than that. And then your question about what other options the board would be considering, the board periodically evaluates what changes in configuration might make sense for the business to create more value. And I would expect that as we go through this period, no different. We'll continue to be open minded about what we need to be looking at there.
Brad Alan Zelnick - Macquarie Research: And just for -- one for Thomas. Thomas, I believe you said in your prepared remarks that you expect billings to return to moderate growth in the second quarter as the comps ease. But if I look at historical revenue yield trends and I look at the full year expectation that you've set, it would imply that bookings next year would need to be up high-single digit in order to achieve the revenue guidance. So my question is what product roadmaps are in flux? And going into this year, you have a headwind from terminating the Norton-HP relationship. What should we expect to drive this kind of growth? And specifically, are you expecting a significant rebound in product and license revenue to get there?
Thomas J. Seifert: Well, first of all, the prepared remarks talked about the second half of the year, not the second quarter, and that's a fine but important distinction. It's driven by a couple of things. As we said before, new product launches is a part of it, but also the changes we have made to the channel and channel management. And some of the work streams that we have started to target specific areas where revenue will be impacted. For example, the licensing side. For example, our pricing initiatives. So we'll see improvement coming from this direction without even having to depend on new product launches only.
Michael A. Brown: Brad, if I could just add, your question said that -- well, new product roadmaps are in flux. Actually, I think we've achieved more clarity around what products we really want to be investing in and what we don't. So I wouldn't expect that to impact the rate of progress as we deliver new products. In fact, my expectation is it should accelerate getting the products out. We're much more focused on which ones are the most important.
Operator: And we'll go next to Raimo Lenschow with Barclays.
Raimo Lenschow - Barclays Capital, Research Division: Two quick ones. First, there were a lot of questions on the changes in the business, but can you talk a little bit about what you're seeing out there in terms of business environment? I saw all the regions had relatively similar growth rates, but maybe some more granularity here? And my follow-up will be like what -- if the new CEO comes in now -- I mean, what are -- I mean, you have a kind of pretty solid plan of what you want to achieve there. What kind of flexibility does he have then?
Michael A. Brown: I think in terms of business environment, we saw that it was a fair business environment for the fourth quarter, with probably more strength driven by some of the emerging markets. Obviously, Asia, Latin America as an example, and tougher markets here in North America and Europe. And then Thomas gave some commentary obviously in terms of what we saw segment by segment. You want to add anything on [indiscernible]?
Thomas J. Seifert: No, I think the important thing to point out, independent of what happened in the market, and the market was good, is that we saw the recovery across the important trend lines, pretty much across all of our organization more or less. And I think that was an important topic to point out. With respect to the initiatives and the CEO, maybe I'll just continue and then Mike jumps in?
Michael A. Brown: Sure.
Thomas J. Seifert: So we are convinced that the steps that we are taking are right for the company from an operational perspective and very likely going to be accepted by a new CEO. This would be my comment.
Michael A. Brown: Yes, Thomas. That's exactly right. I mean, the things that we're doing, we think, makes sense to anyone coming in as CEO. The board is going to be flexible and collaborative to work with the new CEO and what they would like to see, but we see these as really foundational elements that would help us accelerate growth and continue our progress on margin. Any CEO is going to be interested in those things.
Operator: And we'll go next to Phil Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Just want to focus on the topic of Enterprise. Obviously, you said that was going to be a focus going forward. And if you look at the billings growth over the past couple of quarters -- or a decline, I guess it got better this quarter, maybe you expect it to improve in the second half of this fiscal year. But when you look at the sales force, maybe give us sort of report card of sort of where you are right now with the changes? What worked? What didn't work? And what are the things you might be changing as we enter the new fiscal year?
Michael A. Brown: Sure. I think the changes we made last year were the right ones, laid the right foundations. So just to review, I think splitting the sales force into new business and renewal teams, we're very happy with that. And while it was a difficult move to make, we feel like that one is behind us. We also think the specialization, those folks calling on -- within IT, specialized on Security or specializing on Information Management is also the right call, given the breadth of the product portfolio that we have. And then the channel program changes, very important to make sure that we're a lot more focused on the channel partners that are delivering the biggest part of revenue to Symantec. So the channel program, rather than a one-size-fits-all, is really tailored for those channel partners who become certified and expert in products. And obviously, they benefit from that in terms of their economics, even though we still will be very broadly distributed by folks who don't what to go through certification like that. So I'd say all those changes are ones that we believe are the right moves, and we're glad that those are behind us at this point. As you mentioned, the billings trend, while not positive yet, is certainly a proof point that we're starting to get some traction. And I think that in -- what's in front of us this year will be much more minor changes. We'll expect that we're going to still invest in sales force productivity, which basically means tools and optimizing the performance of the sales organization. So there's still some of that work to do, but very minor compared to what we went through this past fiscal year.
Operator: We'll take our next question from Aaron Schwartz with Jefferies.
Aaron Schwartz - Jefferies LLC, Research Division: Maybe a follow-up question on the product side. I know you're not sort of characterizing this as a reset on the product side, but you definitely are emphasizing certain products over others. How do you ensure that your customers don't see sort of a wait-and-see approach given the transformation they went through last year and then some disruption on the sales relationship side over the summer, and now sort of a message that you're going to emphasize certain products you make, some that are -- divest other products. I mean, how do you sort of maintain that continued purchasing pattern out of your customer base?
Michael A. Brown: Well, it's interesting because I spent some time earlier this week at our user conference. And I think one of the things that you hear from our customers is, "You're a complex organization to do business with in terms of the number of products you have. It's difficult to understand everything that Symantec offers." And I think we need to simplify that, both for our field and, as we talked about, what we're doing in our products organization. So I think these changes are going to be welcome. We're taking in mind of course, when we do any pruning, what products are those that are extremely widely used and which ones have we been offering for some time that frankly are not that widely used and don't meet a margin or growth goal. So I don't view that customers will see this as a reset but a bit of simplification of what we're doing. And I think most of them will feel that that's a very positive step for us.
Aaron Schwartz - Jefferies LLC, Research Division: Okay. Second question, if I could. If we look at the growth on the User Productivity segment, that sort of decelerated through the year, and that does have higher margins of all your business segments. Is the growth trajectory through the year just a timing factor for what you went through with the billings? Or are there any changes in renewal rates or anything more that you can help us out with on the User Productivity trajectory? And how much of a headwind is that for your margins next year if that continues to decelerate the way it has?
Michael A. Brown: Well, I think one of the issues with this segment is that there's very different product lines that are within the segment. So if you start with the Norton business as an example, which is categorized in this segment, you've got something that's very profitable. But obviously, the headwind there is PC unit shipments. And I wouldn't expect that, even though we've got some initiatives underway, to be able to streamline what we're doing there, improve our renewal rate as an example, simplify the number of solutions we offer through Norton from 7 down to 2 as an example. We're still going to face those headwinds, so I'm not expecting that to change. On the other hand, we've got some businesses that are growing quite nicely there. Our Endpoint business, or security for endpoint in the enterprise, is growing nicely. That was growing at single digits during the fourth quarter and has very good prospects going forward. And then Mobile is also within that segment, and it was the fastest-growing business we had, at 76% year-over-year growth. And we're -- that's one of the areas where we continue to invest and add functionality in the whole mobile workforce productivity suite that we offer. So very different businesses all in that -- or families all in that segment.
Operator: And we'll go next to Mark Grant with Goldman Sachs.
Gregory Dunham - Goldman Sachs Group Inc., Research Division: Actually, this is Greg Dunham. I've gotten a lot of questions given the management changes and really, the changes underneath Steve over the course of the last year. There is significant changes at the operational level and concerns regarding the continuity of the business with where the business was maybe 1 year or 2 ago. Can you maybe address that concern? And specifically, given that dynamic, what kind of gives you the confidence that you can get back to accelerating growth in the back half?
Michael A. Brown: Greg, let me make a comment and then you can tell me if I'm on target with your questions. I think one of the issues with Steve's management was we saw too much executive turnover. So that was one of the reasons that the board felt like we needed to make a change. That's now stabilized. I don't think that we've seen that have that large an impact in terms of the business continuity going forward. Was that your question?
Gregory Dunham - Goldman Sachs Group Inc., Research Division: Yes. I mean, in regards to when you're trying to optimize the business, if you have a lot of new people here that have only been here in the past 12 months, maybe you don't know all the -- you don't have the same level of visibility to how the business can perform necessarily going forward, and the comfort level that you have that, that kind of institutional knowledge is there, that you can access to then make the right decision.
Michael A. Brown: I'd say 2 things. First of all, I'm very impressed with the level of talent that I see in the company. Some of that talent is new in the last 12 months, as you say, but we have a lot of folks here at Symantec who've been here a number of years. And obviously, their additional experience with the business is very helpful as we take a look at it. I think you also wanted some commentary about the growth in revenue, second half?
Gregory Dunham - Goldman Sachs Group Inc., Research Division: Yes. Well, the back half. It sounds like there's pricing from product cycle dynamics and some easier compares that give you the conference that you'll return to growth in the second half. Is that a fair assessment?
Michael A. Brown: Yes, I think -- there's a number of factors, and you're hitting on them. I mean, one is, as we come up on the one year since we reorganized the sales force and the traction that we talked about earlier, that's going to be important. The channel program, getting that launched and rolled out is important. A number of the efficiency initiatives that we talked about are really about the top line. It's improving renewals rates, sales productivity and pricing. So we believe there's an opportunity through those to get revenue moving in the right direction without regards to the new products. But then we add to that, as I talked about before and won't repeat here, a pretty strong product pipeline also coming. So I think the combination of all those is what gives us confidence that we can both improve the margins, as we talked about, and get the company growing again.
Operator: We'll take our next question from Gregg Moskowitz with Cowen & Company.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: A couple of questions. There's a recent article getting a lot of attention, where one of your executives has said that, "Antivirus is dead." I just wanted to get your official thoughts on that. And then secondly, a clarification. You mentioned, Michael, that you're going to be pruning some product lines. I'm wondering if you're still planning on moving forward with each of the 10 new key product areas that had been previously identified. And also, if you can provide an update on the cadence of those offerings.
Michael A. Brown: Sure. Yes. So I think one of our executives was surprised at how well that comment was covered. I think the key on the antivirus comment, which was reported as, "Antivirus is Dead," is really that antivirus alone is insufficient. That might have been more accurate, and that in itself is no news. So I think as we'd all recognize, antivirus is a key part of a multilayered endpoint security approach. So signature-based antivirus, we estimate today, catches about 45% of the threats. And then you've got to add other technologies to block those other threats; behavioral, reputation-based detections. And the good news is Symantec has already, for years, included more than antivirus, both on the consumer Norton side, as well as the Enterprise Endpoint side. So an interesting perspective that certainly got widely picked up, and I think it only tells part of the story. Let's see. The 10 new offerings. So we made some progress on those integrated offerings and in fact, delivering on 3 of them here in FY '15. Mobile workforce productivity that we talked about earlier in the call, our fastest growing product family, and something that we will continue to improve the functionality of and offer as a suite. And then the 2 security offerings I would point to: the Service -- Managed Security Services that we talked about before, integrating the information from third-party gateways; and then the HEP [ph] solution that's coming later in the year. Those were all 3 of the original 10. And then you asked for any of them not going forward. I really can't comment at this point, ahead of us announcing anything on a particular product line as to what's not moving forward.
Operator: We'll take our last question from Michael Turits with Raymond James.
Michael Turits - Raymond James & Associates, Inc., Research Division: A follow-up on the sales force reorg side. Obviously, when the sales force changes were made, they were ones you said were moving the right direction, but there's a lot of disruption. Where are we in terms of recovering to your target level of productivity relative to the sales force?
Michael A. Brown: Well, I'd say, Michael, that we made a lot of progress. We're pretty pleased, both with having made those structural changes and then how people are adapting to those, meaning that people are clearly focused in a dedicated way on new business, as well as renewals. And then we also see that there's productivity left to go. So that's what -- one of the efficiency initiatives that we've identified has to do with sales productivity. And so that part is really tools. One of the things that's pretty exciting to see is that we're now able to give folks in our sales force the complete look of products, competitors, future roadmaps. That's all available to them in real time on their mobile device. So that kind of tool we never had at Symantec before. It all goes to making sure that the sales force can spend more time with customers instead of working through issues, back-office issues here at Symantec. So we're pretty pleased with that. But as I'm indicating, there's a little bit more to do both in terms of productivity, as well as fine-tuning performance. If you had to say, "How much of the change is behind us?" I'd certainly say a tremendous amount. I don't know whether that's 75% or 80% but...
Michael Turits - Raymond James & Associates, Inc., Research Division: I could give you the classic, "What inning are we in?" question, if you like.
Thomas J. Seifert: Yes. Let me make one more comment because I think you asked for a milestone. How do we judge progress? And getting back to positive growth, both on the billings as well as on the revenue side in the second half, I think, is an important milestone for us to reach. That shows that the productivity is getting in the right space. But without any doubt, what Mike said is true. We have more room for improvement, and this is what we will be focused on moving.
Helyn Corcos: Wonderful. Thank you. Gwen, I think we are done.
Operator: Thank you. That concludes today's question-and-answer session and today's Symantec conference call. Thank you for your participation.